Thierry Le Hénaff: Good morning everybody. Welcome to Arkema's Full Year 2024 Results Conference Call. With me today are Marie-José Donsion, our CFO; and also the Investor Relations team. As always, the slides used during this webcast are available on our website. And together with Marie-José, we will be available to answer your questions at the end of the presentation, as usual. In 2024, Arkema delivered a solid set of results within the range of the full year guidance we gave a year ago and in a macroeconomic environment that you perfectly know, which eventually remain challenging throughout the whole year. In this context, our teams demonstrated their commitment and their agility, working actively to manage the short-term as best as possible and also continuing to implement with a high level of execution, the major projects, which will contribute to accelerate the growth of the company in the future. I know many of you are already focused on 2025, and we'll talk about the outlook later, but it's important to appreciate the robustness of our 2024 performance. We proved again to be among the most resilient in our industry as the Slide number 6 of the deck shows and this in very different types of environment. This indeed values the strategic and operational work we have accomplished over the past several years. So, here are some key points of last year I'd like to share with you. First of all, the group delivered a growth with an EBITDA of €1.53 billion in 2024, up 2% year-on-year. This result was driven, first of all, by the Adhesive Solutions segment, which has increased its EBITDA by more than 8%, reaching a record high EBITDA margin of 15.1% to be compared with 14% a year ago. This quite encouraging performance was delivered in an overall low volume environment, like for all our business, reflecting all the work done on the value pricing, the strict management of operations and also the benefit from recent synergies, including Ashland, which is a good illustration of the One Arkema combined approach, in this case, applied on pressure-sensitive adhesives. Secondly, the Advanced Materials segment delivered a robust 20% EBITDA margin with still significant improvement potential ahead and primarily supported by the overall good growth of high-performance polymers. The main drivers last year were the innovation and new business development in applications linked to sustainable megatrends, for example, in sports and in batteries. Also PIAM's promising first full year contribution and the expansion for more efficient building of fluorospecialties with low emissive impact. On the other hand, Performance Additives were down, but this was compared to a high base last year and impacted by the year before and impacted by a few technical hurdles like the millennium flooding of our site in Günzburg. Concerning Coating Solutions, in constructive views, downstream activities improved compared to last year, in particular, thanks to our strong development in Asia, namely in electronics and industrial coatings market, but this was offset by upstream acrylics, low cycle conditions, which we experienced in Europe and U.S. You have more detail on this segment in the press release and in the slide, and I will be certainly happy with Marie-José to answer any of the questions you may have on the last year performance. Another highlight of the year was our EBITDA margin, which standed at 16.1%, slightly up compared to last year. This figure illustrates the strength of the Specialty Materials portfolio we have built over the years, focusing more and more on high-performance sustainable solution. It's also the result of our value pricing and our strict discipline on operational costs. Thanks to our cost-cutting initiative, we have been able to offset around half of the inflation, which was rather high last year, in line with our target to achieve €250 million of annualized cost savings, both fixed costs and variable costs by 2028. The group has also benefited this year from its well-balanced geographical footprint. Each of our main regions now represent more or less one-third of our sales and Asia was our fastest-growing region in 2024. So, we have reached the balance we wanted to reach, one-third, one-third, one-third. This underlines the acceleration of the group in the most dynamic region, which will be further supported by the progressive contribution of our major growth project essentially located in Asia and North America. Most of you already have this project well in mind. But as a reminder, we put their list on the Slide 11 of the deck. And you will notice that we added the PVDF expansion in the U.S. that we announced yesterday. You may have also some questions on this. We reviewed several options as indicated during our 2023 CMD with regard to PVDF in the U.S. And finally, we have decided to take a wise and step-by-step approach to match market development. We start with this 15% capacity increase in our second largest PVDF site in the world, a high-return project with a limited investment of $20 million, which will enable us to follow the evolution of the demand for innovative PVDF grades, notably in EV and semiconductor markets. Among this major project, let me highlight also the ramping up of our Singapore plant for bio-sourced Polymer, the new 1233zD Unit in the U.S. that is starting just right now, the PIAM acquisition, which should deliver another strong growth in 2025, supported, for example, by the promising development of ultra-thin films for smartphones. And finally, the Dow acquisition, which was closed end of last year and whose integration so far is starting well. They are all quite attractive from a financial standpoint. They leverage Arkema's differentiated positioning and will be supported for a large part by the megatrends. As importantly, the cash to fund this project has almost been fully spent as of end of 2024. We made a simulation taking into account the ramping up of this project and the demand dynamic of each region expected in the coming years. And as explained in the slide, we could foresee a further evolution of our geographical footprint in the long run with North America to represent around 40% of our total sales, Asia and the rest of the world around 35%, which Europe could be diluted to around 25% of our total sales. This major project will contribute up to more than €400 million of additional EBITDA in the next four years, as explained in the Slide 10 of the deck, €100 million of additional EBITDA being the estimate we confirm for this year. I also wanted to quickly highlight some of our CSR results where we made good progress overall in 2024. This is the case for decarbonization, where the group's numerous initiatives to reduce its carbon footprint are paying off, for instance, with the signing of new long-term agreement for renewable energy in China and in the U.S. We are also well ahead of our 2030 target for Scope 3 emissions validated by SBTi. So, we have decided to strengthen our ambition to 67% reduction by 2030 against 54% previously. Another key priority for Arkema is, as you know, to further increase the diversity among the employees, including the share of women in management position. On this last element, we have decided to increase the target from 30% to 35% in 2030 back on the speed of our progress in the area so far. As a result of our solid financial performance in 2024 and the Board's confidence in Arkema's growth prospect, a dividend of €3.60 per share will be proposed at the next AGM, up almost 3% compared to last year and in line with our progressive dividend growth strategy. This also represents a payout ratio of 44%, which is fully in line, as you know, with our long-term targets. I will come back to the outlook at the end of the presentation. But now I would like to hand it over to Marie-José, who will review, in more detail, our Q4 and full year results.
Marie-José Donsion: Thank you, Thierry. Let me start with the revenues. Arkema Group sales amounted to €9.5 billion in 2024, quite stable year-on-year. In fact, volumes were up 2.4%, which corresponds to a volume growth of more than 3% in Specialty Materials in one hand and a volume reduction in refrigerant gases in line with the quota reductions in U.S. and Europe on the other hand. In the context of weak demand, Specialty Materials benefited from a more favorable market trends in sports, packaging, batteries and energy, while construction stabilized at a low point and automotive faced several destocking waves. Price effect on sales was a negative 3%, in line with the evolution of raw material prices overall. The scope effect at 2% reflected essentially the integration of PI Advanced Materials. And finally, the currency effect at minus 1% reflected the depreciation relative to euro of several Latin American currencies and the Chinese yuan, while, in fact, the U.S. dollar remained stable in average for 2024 compared to 2023. As presented by Thierry, the group EBITDA came at €1.53 billion, up 2% year-on-year, and our EBITDA margin stood at 16.1%, reflecting our efforts to maintain both the solid pricing and cost discipline. Looking at Q4 specifically, Bostik delivered an EBITDA of €91 million, quite resilient pricing in a low volume environment. Advanced Materials delivered €166 million, up 11% year-on-year, mainly driven by High Performance Polymers in Asia and by PI Advanced Materials consolidation. Coating Solutions Q4 EBITDA was down to €54 million, impacted by low cycle margins in upstream acrylics, while downstream activities were stable. And finally, EBITDA in Intermediates was down at €24 million versus a high comparison base in refrigerant gases in Q4 last year. Please note that we also recorded two specific one-offs in Q4 namely the cost of acquisition of Dow Adhesives for €15 million and the IFRS 2 charge linked to the capital increase reserved to employees for €15 million also. Both items were reported as non-recurring items in Q4. Now, back on the full year basis, with recurring depreciation and amortization of €637 million in 2024, including the impact of PI Advanced Materials consolidations and that of organic project start-up, the recurring EBIT amounted to €895 million, and this corresponds to a recurring EBIT margin of 9.4%. A word on non-recurring items, which amounted to €155 million for the year. They included a €40 million Singapore start-up costs, €30 million related to M&A costs, in particular, the acquisition of Dow, some restructuring charges for roughly €25 million and various provisions, notably in regulatory and environmental fields for €30 million. Financial expenses were stable at €73 million as well as our average tax rate, which remained stable at broadly 22% of our recurring EBIT. All-in-all, adjusted net income came in at €616 million, which corresponds to €8.23 per share. Moving on to cash flow. We delivered a recurring cash flow of €419 million in 2024. This included a spend in capital expenditure for a total of €761 million, in line with our guidance and reflecting the ramp-up of our major CapEx projects. Looking at 2025 and further, the group plans to -- for a lower CapEx intensity, as you know, we indeed expect an annual CapEx spend comprised between €650 million and €700 million over the period of 2025 to 2028. Working capital remained well-controlled. The working capital ratio on annualized sales standing at 13.8%. Free cash flow amounted to €358 million, including a non-recurring outflow of €61 million, linked primarily, as you know, to the start-up cost of our Singapore platform as well as some restructuring costs. Taking into account the net cash outflow of €177 million from the portfolio management operations linked to the acquisition of Dow Laminating Adhesives, Arkema Group net debt stood at €3.2 billion, including €700 million of hybrid bonds. The group continues, therefore, to enjoy a strong balance sheet with a net debt to last 12 months EBITDA ratio of 2.1 times. Thank you for your attention, and I will now hand it over back to Thierry.
Thierry Le Hénaff: Thank you, Marie-José, for all this explanation. So, now I will comment a little bit the outlook. So, as we say in our press release, the demand at the beginning of 2025 is relatively soft overall. Of course, there are some specific areas like electronics, battery and sports continuing to be well oriented. But as you know, we have a good indicator in the company, which is the adhesives where -- and this is quite consistent with what our competitors published in this area. We see some softness where last year, it was really very resilient and very performing in a challenging environment. So, our interpretation is that the current geopolitical context with all this discussion around the tariff is driving our customers to wait and see, which will not be long lasting, but this is what we see in this first quarter. So, in this context, we guided an EBITDA level in the first quarter slightly below the performance of last year, as you could see, which if we follow the publication of our peers, including this morning, this compared well to them and confirms our stronger resilience. In the rest of the year, beyond the evolution -- the clarification of this tariff topic and the evolution of the macro, we will focus on our setup as usual on our project, which is really the DNA of the company. And we will benefit from the progressive ramp-up of our major projects in our Specialty Materials, which should contribute around €100 million of additional EBITDA, which is quite significant. On the other side, the Intermediates segment EBITDA is expected to decrease by roughly €30 million, mostly reflecting the impact of the quotas reduction in refrigerant. On the full year, we'll benefit from our balanced geographical footprint serving the region from the region. So far, what we have seen even in the beginning of the year is that our Asia sales are still dynamic. So this is -- but consistent with this tariff story, this is Europe and U.S., which are lagging. So, -- but certainly, the fact to be so balanced as Arkema is an advantage in the volatile world of today. Besides, we plan to reinforce our initiatives on our operational cost as we did last year and the years before and to continue to strictly manage our working capital. So, if we take all this element into account, so we plan to grow this year in 2025 and to reach a level between €1.53 billion, which is the level of this year, up to €1.67 billion. The high point of the range, obviously assumes notable improvement of the macroeconomic conditions progressively in the year. In terms of cash flow, we wanted to update you. So, we plan to significantly increase our recurring cash flow compared to last year to reach around €600 million, driven by lower CapEx year-on-year, last year was a peak year in terms of CapEx, and we guided lower CapEx in 2025. So, driven by lower CapEx, our EBITDA growth and also a strict control of our working capital. In parallel, we continue to implement our 2028 roadmap. We have a lot of projects which need to be executed at the highest level of quality. This will help to develop high-performance specialty material with this focus on sustainability and innovation to answer our customer needs for less carbon-intensive solution. So, this is what I wanted to comment with regard to the outlook, and thank you for your attention. And together with Marie-José, we are ready to answer your questions.
Operator: Thank you. [Operator Instructions] The first question is from Aron Ceccarelli of Berenberg. Please go ahead.
Aron Ceccarelli: Good morning. Hello Thierry, hello Marie-José. I have three questions, please. My first one is on your full year 2025 guidance, specifically on the lower end of your target. Could you help me understand a little bit the assumption you're baking in, please? In this scenario, are you still assuming around €100 million contributions from new projects? Or is there any assumption from a business unit beside Intermediates to decline? The second question is on Coating Solutions. It would be great if you can help me reconcile a little bit the strength in the downstream business with the weakness in the upstream acrylics. Is this a problem of supply? If this is a problem of supply, where does this come from at this stage? My final one is on the Adhesive Solutions business. Historically, you have not been very pushing, let's say, on price increases. Raw materials are not declining anymore, but clearly, demand remains relatively soft. Would you expect pricing to be down on a year-over-year basis in 2025? Thank you.
Thierry Le Hénaff: Yes, thank you for your question. I will start with the last one because I'm surprised on your comment on price increase. I think on the contrary, we have done very good in value pricing. Certainly, there is an influence of raw materials. But I would like to congratulate our team for the job they have done in additive value pricing. Don't forget that we started when we bought Bostik in early 2015, we started with an EBITDA margin of 10%. We are now at 15% of EBITDA margin. And this has come a lot with our ability to pass price increase superior to raw materials and to have an evolution of the product mix, which is very favorable. So no, I don't support your comment. On the contrary, we do a good job. And hopefully, the net pricing in 2025 despite the low macroeconomic that you should not forget, which influence everyone. I think we expect net pricing a little bit positive, thanks to the work on the product mix, on the dynamic pricing adjustment. So, -- but at the end, it comes from innovation and differentiation. So, this is a starting point. And when I look at the quality of the portfolio in adhesives today compared to what it has been, really, I'm very impressed by the job done by the team. So, I think it goes in the right direction. On the full year guidance, I will not comment every element of the -- every point of the range. Obviously, it's clear that you have a little bit of sensitivity of the €100 million to the macro because €100 million, this is not because you put a CapEx that you got the EBITDA. This is because you develop yourself and you can supply it from the CapEx. So, obviously, the macro has some influence on the project. The important point is that after growth in 2024 that not many of our peers have delivered, that we have delivered, we expect again growth in 2025. The magnitude will depend on the evolution of the macro. So, if the macro remains quite challenging with no clarification of tariffs, et cetera, it's clear that U.S. and Europe will suffer more and we are at the low end of the guidance. And if the macro is rebounding step by step, as some of you can expect, then maybe you can share your assumption. After in the chemical industry, two years of soft demand, I think we can go up to €1.67 billion. What we try to do also whatever the macro is to focus on our self-help. And we believe that compared to most of our peers, we will again deliver a superior performance versus last year. We believe that with the uncertainty on the macro €150 million range, I don't know your feeling, but it is reasonable I think. And it gives you a good transparency on what we think. On Coating Solutions, I imagine your question is more on the acrylic upstream than on the downstream. Downstream, I think we did well last year. It's clear that we are at the low point of the cycle. On Coating Solutions, as you know, this is the acrylic presence in Europe and U.S. It's not a matter of supply. Supply has not increased. It's a matter of demand. We have been in a world of low demand, as you know, in 2023 and 2024 and acrylics has gone down to low cycle, but we try to stay positive, and we consider it in the midterm as an upside for the company. We know we underperform in acrylics. There is something like €100 million plus of EBITDA, which is missing in compared to normalized conditions in Europe and U.S. It will come back one day. Question is when. We don't know with a lack of visibility on the macro, but when it will come and then it's an upside that we'll be able to catch, but it's not a matter of supply.
Aron Ceccarelli: Thank you. Just a clarification. The impact from Intermediates is expected €30 million, 3-0, is that correct?
Thierry Le Hénaff: Yes, €30 million, around 3-0, around.
Aron Ceccarelli: Okay. Thank you very much.
Operator: The next question is from Matthew Yates of Bank of America. Please go ahead.
Matthew Yates: Hi, afternoon everyone. I had a couple of questions for Marie-José really. Thank you for breaking down those €155 million of non-recurring items. That was going to be one of my questions. When we look into 2025, can you talk a little bit about what items will still be there next year? Are we done now with the Singapore costs? I guess M&A depends what you do, but things like restructuring and environmental, do those repeat as a normal course of business? And then there's somewhat of a sort of related follow-up. When you talk about €600 million of recurring cash flow, what is the number that your IFRS accounts will actually show this time next year? I think you stopped talking about exceptional CapEx at the last CMD. We removed that definition, but again, probably related to those non-recurring items in the P&L. What are the other things that may sort of mean that €600 million of free cash flow number is not exactly what's reported? Thank you.
Marie-José Donsion: Thank you, Matthew. So, I confirm that the non-recurring was in particular impacted in 2024 by really two large items, which are the ramp-up costs of -- and the start-up cost of Singapore site for roughly €40 million as well as the cost of M&A transactions, notably the Dow transaction for overall €30 million in P&L, both items, actually, you find them back in cash. The first one in the non-recurring cash flow, the second one in the M&A cash flow in the transactional cost of transactions cash flow. So, I would think when I go back in history and when I joined, I guess, our more historical level of non-recurring is more in the range of €60 million, I would say. So you can never predict the events that are going to happen, but this would be something that we think makes sense. Looking at the €600 million target of recurring cash flow for next year. I think it's a robust target and it assumes, let's say, the underlying EBITDA we are forecasting. We have decreased the CapEx spend as commented by Thierry. We've got, let's say, our usual financial cash out and tax cash out. So, assuming, let's say, working capital remains under control, it's, let's say, the normal IFRS cash flow generation.
Matthew Yates: So, let's say, summary it could -- so it's €600 million minus for the sake of argument, €60 million of exceptional items is the way to think about that?
Marie-José Donsion: You could read it like that, yes.
Matthew Yates: Perfect. Thank you.
Operator: The next question is from Tom Wrigglesworth of Morgan Stanley. Please go ahead.
Tom Wrigglesworth: Thank you very much. Two questions, if I may. The first one on the new projects and their ramp-up, in particular, the PA11 plant post the stop -- not the stop, the re-ramp that took place at the end of last year. What's the current sales rate out of that facility versus the expected kind of -- I think it's €300 million of sales at run rate that we're expecting? Second question, actually, let's -- on Advanced Materials. So, -- can you just give us a kind of a global picture of PVDF? Are you building the new capacity in the U.S. because the incentive pricing is there? Or is this a preemptive move ahead of anticipated demand? And the third question is on fluoro gases in Intermediates. Obviously, there's a €30 million reset this year. But is that the -- how can you grow that business? Will the market normalize back to a higher level of its own accord? Or will you look to drive growth through pricing different products?
Thierry Le Hénaff: Okay. Thank you, for this question. So, with regard to polyamide 11, First of all, we have a nice growth so far to start to generate EBITDA, we need to go beyond the breakeven point and new big plant, okay? This is why even if the sales increase, it will be rather significant on the PA11, thanks to our innovation in many businesses, which ask for sustainability among the 100, it will be project among 10. So, the EBITDA -- it's not directly your question, but it was important to mention it. The EBITDA contribution will be -- I don't say that you take 10 projects divided by 10 for the 100, but they are all in the same kind of order of magnitude, including PA11. So, in fact, for every ramp-up of this kind of plant, you have a little bit of disconnect in terms of EBITDA contribution between the sales, which will grow quite significantly, but you need first to reach the breakeven and then beyond the breakeven, you start to deliver the EBITDA. And so it becomes exponential at a certain point, okay? So, to answer your question on the sales, already the sales rate will show quite a good growth. We say to ramp up 100% on Singapore, it will take five years, okay? But it will not be linear. This means the growth of the first years in order to exceed the breakeven will be more important than the growth of the last years, okay? So you take a linear and you put a little bit more weight on the first two years. On Advanced Materials, it's a very nice project because which will get sort of two years payback, first of all. It's not based on a sort of preemptive move, for example, on EV, which is certainly your underlying question because our growth rate in the U.S. on PVDF over the past 20 years has been above 5%, okay? So here, we have 15%. So, if you have a little bit of battery once we start, you see that you can really see rather quickly this new capacity. On the other side, the cost for this new capacity compared to what is the benchmark is quite low because we have found a very smart way to increase our capacity without spending too much in CapEx. So, it's quite, let's say, solid in terms of business case. So, it's not incentivized, it's not preemptive. It's really on our own. It's quite a good value for what we can produce, completely consistent with the past growth, okay? So it's quite a nice project and this is in the spirit of what we say after the Capital Market Day. On the Capital Market Day, it was a time where EV was really expected to grow everywhere very quick. Now the future is different. It will come at a later stage. And we have been able to, after one year, one good year of source, to find a way step-by-step, which is really fitting well with our understanding of the market without taking any risk. On the fluoro gases, in fact, the way you have to look at it is that we have more or less, let's say, stop our investment for refrigerant as such. This means that all our investment, R&D, CapEx in fluoro gases is on the HFO for insulation, for batteries, for thermal management, et cetera. So, they are in HPP naturally because they find really the room there, and they are growing there. So the growth is not small. But by definition, I would say, mechanically, the refrigerant, which is an intermediate is following the quotas. So, the contribution will remain at a good level, but you will lose a little bit of momentum every year, which is what is happening certainly in 2025. This is why we guided that.
Tom Wrigglesworth: Okay, great. Thank you, Thierry. Very clear.
Thierry Le Hénaff: You're welcome.
Operator: The next question is from Tony Jones of Redburn Atlantic. Please go ahead.
Tony Jones: Yes, good morning everybody and thanks for taking my questions. I've got two. Firstly, on growth projects. When you're deciding and budgeting to go ahead with these growth investments, how much visibility do you have on your demand? Are they usually offtake agreements with big customers? Or is it more speculative? And then secondly, on uses of cash, share price is now trading at book value today, and you're not really getting much credit for the growth projects and acquisitions sadly. Is it now time to rethink about a major stock buyback program? Or is that just simply not going to happen?
Thierry Le Hénaff: Okay. On the growth projects, this is part of the game. I think you need really to predict in a world which is sometimes difficult to predict what will be the growth in order to deliver the payback expected from this growth project. In fact, you have different kind of growth projects. The first important thing is to add a portfolio of growth projects. This means some will deliver better than expected. Some will deliver lower at least at the beginning. But all-in-all, we deliver the trajectory of the portfolio of growth projects, which we expected. Then you have different kinds of growth projects. You have like Singapore. It's serving plenty of end markets. A lot of them are linked to sustainability. So, they depend on the geopolitical and macroeconomic context. But it's beyond that, there is a megatrend, which is very strong, where P11 is a unique product. And then we have confidence on the fact that whatever the macro, we are able to deliver enough growth to sustain this project. So, there is a part of that in the CapEx, but it's far beyond the macro. There are plenty of new business development and innovative project behind that, and this is why we build our confidence. Now, for example, maybe sports will deliver quicker than expected, maybe EV vehicle will deliver, it will take more time, et cetera. Now, you have a project like the 1233zd in HFO fluoro gases for housing energy efficiency. This is linked to legislation. So, it's not depending so much on the macro. It's depending on the evolution of legislation, which is not for sure. Then the third one is the partnership with Nutrien on AHF. It's backward integration. So, this means that we know for sure that we will benefit on the integration because today, we buy outside. So all these projects are of the different rationale. But at the end of the day, we have enough visibility, not necessarily on the macro, but on the drivers in order to make us on a portfolio of projects where we accept that some projects will overdeliver, some underdeliver to deliver altogether what was expected. Different question on the share buyback. I think I've made sometimes some kind of answer. Our return to shareholders, we have decided that for long, is based on mostly on the dividend policy, which is a nice one. As you could see, it has increased very significantly. It represents this year, 44% payout. So, it's a lot for the company in a company which is still driving growth with significant organic CapEx. We have plenty of ideas and some bolt-on acquisition. So, we have 2 times EBITDA in terms of debt. So, obviously, there is no place for share buyback and certainly massive share buyback. So, this is the way, it's very transparent, very clear, very consistent year-after-year. Now, if we have a disposal as we did, for example, for PMMA, there will be room for share buyback. We did it a few years ago. So, there is no taboo, but I think in terms of flexibility with the project we have, we play the card of dividend, and we certainly don't want to create any step back on this component of share buyback.
Tony Jones: Thank you, Thierry. That’s very helpful.
Operator: The next question is from Chetan Udeshi of JPMorgan. Please go ahead.
Chetan Udeshi: Yes. Hi thanks. Actually, my questions are for Marie-José. First is, I saw there was a good step-up in recurring D&A in Q4. Can you just give any guidance on what you think is the right number to look for in terms of recurring D&A for 2025? The second question was just a clarification on the recurring free cash flow, again, just to -- on Matt's point earlier. Can I confirm you don't include the lease costs in that number. So, that comes below that recurring cash flow. Is that right?
Marie-José Donsion: So, in fact, the IFRS 16 debt is recorded, yes, differently in the cash flow statement. So, it is not actually per se a cash flow movement of the period reported here. So, the €600 million free cash flow target do not take into account, let's say, the signature of a 10-year lease, for instance, that would impact the debt. We will only have in the cash flow, let's say, the yearly amount that we pay for the lease in question. Regarding the depreciation and amortization, in fact, we have the various assets that we have invested. And as Thierry mentioned, a number of those projects have basically now completed. So, typically, if I look at the Singapore plant, we started the depreciation of the Singapore plant in 2024 and therefore, you will have a full year impact in 2025. My expectation is that the depreciation and amortization is actually quite commensurate with a normative CapEx level. So I would think that €650 million to €700 million being, let's say, the normative CapEx that we see as a baseline for the company. Typically, D&A should reach this type of magnitude level in the future makes total sense.
Chetan Udeshi: Understood. Thank you.
Operator: The next question is from Jean-Luc Romain of CIC Market Solutions. Please go ahead.
Jean-Luc Romain: Thank you. Could you update us on the potential consequences of recently passed legislation on PFAS in France? I guess it's not a lot, but I would like to have a confirmation.
Thierry Le Hénaff: You have one question or you have another question?
Jean-Luc Romain: Just one.
Thierry Le Hénaff: Okay. Yes, there was a law on PFAS, which was adopted in France in Feb 2025. This concerned sort of ban for PFAS, as you know, is very large family. So, substances in textile, cosmetic, ski wax, so very specific, and we are not at all supplying this kind of market. So, for us, there is no impact.
Jean-Luc Romain: Perfect. Thank you.
Operator: The next question is from Geoff Haire of UBS. Please go ahead.
Geoff Haire: Yes, good morning. Thanks for the presentation. Just had two questions. First of all, Thierry, in your comments on the outlook, you mentioned that customers were holding back orders because of the uncertainty around tariffs. Could you give a little bit more details on that and what areas of the business you're seeing that most acutely in? And also just on cost savings, you're obviously targeting the €250 million by 2028. Do you see a need to increase that number going forward just given the current macro environment?
Thierry Le Hénaff: So, Geoff, on the first one, geographically, it's certainly Europe and U.S. In fact, we had a good start in Asia. So, we don't see any influence there. So, it's really in these two parts of the world. From a business standpoint, I would say that the superior growth market are still growing well. If I take one example, which is PIAM, for example, in electronics, actually, we have a good start of the year for PIAM. So, it's more, I would say, in the more traditional business, which is the main part of our business and the business of chemical, even specialty chemical players. So, it is a little bit everywhere. And I would say this is why I mentioned the adhesives because Adhesives is a good let's say, indicator of what is above because in adhesives, we don't lose market share. We are everywhere. So, at the end, and the start of the year was soft for Bostik. And Bostik, you saw the performance last year in a difficult market, we delivered superbly. So, this means that this is why we see that our customers are not ordering as usual. And our interpretation and maybe you will discuss with other players in the industry, is that this tariff discussion is creating wait and see because they don't know. In fact, you order from one region and then you have a tariff. So, what do you do? You need to get prepared for what to do differently. So, for me, I would put it on that. With regard to the cost, your question is why. It's a good question. Certainly, we are trying to continue to work on our initiatives and ideas. And I would not be surprised that we delivered more than what we say. So, our first message is that don't be worried, we did deliver what we promised at the Capital Market Day. But already, if you multiply -- you extrapolate what we did last year for the next year, you will see that we should be above. And we'll continue to find initiatives. But it's true that in our communication, we have different style of communication. We don't overcommunicate on that. But clearly, we will certainly work to do more than what was announced at the Capital Market Day.
Geoff Haire: Okay. Thank you very much.
Operator: The next question is from Laurent Favre of BNP Paribas. Please go ahead.
Laurent Favre: Yes, good morning. Two questions, please. Thierry, the first one on PIAM. I think you mentioned that you got certifications for North American and European sales. I was wondering if you could talk about in which area in terms of end markets or end products we should be thinking of? That's the first one. And the second one is on Slide 10. I know it's a small difference, but at the Q3 stage, you were telling us that the bridge from 2024 to 2028 would be €440 million, and you've added PVDF in the U.S., but you've moved to €400 million plus. And I'm just wondering if you've made more conservative assumptions or you just prefer to show us a round number? Thank you.
Thierry Le Hénaff: On the last -- so second question, so very easy. In fact, in the previous €440 million, you had investment for decarbonization in France, which was not a growth CapEx. And we wanted in this presentation to show where were our growth CapEx. So, we took it out and which was around €20 million of EBITDA while for PVDF, it's more €10 million. So, in fact, we kept the same guidance, but with a lower contribution because, in fact, PVDF, which is for the decarbonization, as you know, is contributing less. So, in fact, it's the other way around. We are more aggressive on the guidance. With regard to PIAM, yes, it was -- at least it confirmed what we had in mind. What we see is a rising demand for ultra-thin polyimide film for -- including for smartphone. We see a good momentum. So, there are some evolution in smartphone, which are good for PIAM for whatever reason because of the specification improvement of smartphone components, so you have overheating issues. And for that, you need material like PIAM. So, we are very happy about that. And PIAM, as you know, a very R&D intensive company. So they put their superior product range. And so this is one first reason. And secondly, we start, but it takes some time to -- because there is a homologation time for when you go -- you extend what you do in Asia to NA and to Europe. And we see a lot of potential with our teams between PIAM and Arkema's team to develop PIAM's product in Europe and NA. But I would say short-term, it's more the contribution of some new trends like this ultra-thin film.
Laurent Favre: And in Europe and North America, are we also looking at consumer electronics? Or is it other applications?
Thierry Le Hénaff: No, no, it's the same.
Laurent Favre: Okay. Thank you.
Thierry Le Hénaff: But it's far beyond electronics. There are plenty -- PIAM is already in Asia, plenty of industrial application that they have traditionally. And also, we are targeting battery, which will be in the U.S. and in Europe also.
Laurent Favre: Okay. Thank you.
Thierry Le Hénaff: You're welcome.
Operator: The next question is from Jaideep Pandya of On Field Research. Please go ahead.
Jaideep Pandya: Thank you. Firstly is on sort of Adhesives, but more broadly in the context of the construction chemicals industry. Thierry, a lot of companies in the construction chemicals space, be it in roofing or are targeting now sort of the Adhesives piece. There's a lot of M&A that is going on, on the light side construction space. How do you see the competitive landscape evolving within from where you guys sit? Is there more competition, but on the other hand, also more opportunities for adhesives to penetrate in the construction industry? And what happens with regards to M&A for yourselves? Are there more opportunities? Or are the multiples actually going up because there are more people willing to invest in this area now? That's my first question. Second question is around the shutdowns that we are hearing on and off, especially from American companies in Europe. How do you see the upstream raw material availability, especially propylene on a longer term basis for Europe? Is that an area of concern? Or do you see abundant supply and therefore, we shouldn't worry about your acrylic assets in Europe? Thanks a lot.
Thierry Le Hénaff: Two good questions. So, on the M&A, I would say it's not new. Some players are maybe different, but we have already seen the consolidation in the adhesive landscape. So, we participate also to this evolution of landscape on our product lines. This means the good thing in the adhesives and chemical construction is that you have plenty of product line. And when you say there is new competitors or different competitors, in fact, we are not necessarily talking at all about the same product. So, with regard to the product that we are making, we see a good stability of the big players. What is changing are the small players because you have some consolidation. We participate to the consolidation. You're right to say that roofing is a good opportunity for us to develop and we are growing every year. It's not only in our construction, it's both in industrial adhesive and construction adhesive, by the way, because it depends where is the application with the level of the supply chain, we are positioned to. So, -- and we are positioned on both. So to make the story sure, yes, it's an opportunity, stability of big players on our own products and consolidation of the small players and we participate. On the -- in Europe, yes, it's true to say that on the base chemicals, we see more and more shutdown in Europe, it's a point of attention. We don't think it will be an issue for acrylics. We will watch, but we don't think it's an issue for acrylics. But overall, if you believe, like I believe that to be strong in specialty chemicals in Europe, you need to have a strong base of intermediates and the base chemical product. It's an element of attention that we need to follow. Now Arkema, as you know, you have followed us since 20 years, we are quite pragmatic. We are global players. We will adapt the company to what is sourcing available. competitiveness, it's not only sourcing, its competitiveness of the foreseen. We have shown over the past year that we were able to be quite reactive. And basically, unfortunately, you see the evolution of the trend of sales of Arkema in percentage of the total sales. You see it. So, it reflects the fact that even if Europe remains quite interesting in the long run, we'll be lower in terms of share in Europe and will be bigger in U.S. and in Asia. We have shown that in the past. We continue to show that. This is why we wanted to, let's say, I don't know if it is a guidance, but at least it gives you a forecast of what will be our sales per region in the long run with 40% in North America and also 30% in Asia. So, I think it's -- this means that Europe doesn't mean that Europe will decrease. It just means that if Europe is stable because we will increase on the rest, it will continue to get diluted.
Jaideep Pandya: Thanks a lot.
Operator: The next question is from Ranulf Orr of Citi. Please go ahead.
Ranulf Orr: Hi, thanks for taking the questions. Two, please. Firstly, China acrylic spreads seems to have moved quite positively year-to-date. Is this something you're seeing? And if these spreads are maintained for the rest of the year, can you give an idea of the positive incremental earnings impact you could see? And the second one is just on the outlook. Apologies if I missed it, so feel free to skip. But could you expand a little bit more on the Q1 outlook by division and the sequential EBITDA progression? Thank you.
Thierry Le Hénaff: Okay. So, on the first one, it's true that acrylics are a bit better on the start of the year. We certainly not extrapolate in China for acrylics, what is happening on two months on the full year as we don't overreact when we see Europe and U.S. on the full year. So, I think we try to stay moderate in our -- but it's true that we have some positive. We guided, I think, very precisely on intermediates, around minus €30 million on the full year. So, this includes fluoro and acrylics. We'll see what the dynamics in acrylics, what the dynamics in fluoro. We have different scenario for both of them. But all in all, we believe that €30 million is a good number for the two, but we'll not split between the two. With regard to Q1 by division, I think we already gave enough on the Q1. It's not the more, and we'll see where -- I mean, every month, there is a different momentum in each division. So, I think what is important is what we say for the Q1 overall with different components. As I mentioned, qualitatively, you see Asia better than U.S. and Europe. And by business line, clearly, acrylics and adhesives are lagging more than some others. And then on the polymer, you benefit from some businesses like sport electronics. So, again, that it's changing a little bit every month. What is important is you got a good forecast for the Q1 for the full year. I think it's a level of granularity that not everybody is giving to you. So, I think we are good in terms of transparency.
Ranulf Orr: Okay. Thank you.
Thierry Le Hénaff: Welcome.
Operator: This was the last question. I turn back the conference over to the speakers for any closing remarks.
Thierry Le Hénaff: Okay. So, I would like to thank all of you for all your questions, which are as always very interesting. And as I mentioned at the beginning, the Investor Relations team is at your disposal. If you have any further questions, you want to deep dive into one topic or another topic. And together with Marie-José and the team, we will be -- we look forward to seeing some of you during the roadshows. Thank you.